Operator: Welcome to the OneMain Financial Fourth Quarter and Full Year 2018 Earnings Conference Call and Webcast. Hosting the call today from OneMain is Rohit Dewan, Interim Head and Investor Relations. Today’s call is being recorded. At this time, all participants have been placed on a listen-only mode and the floor will be open for your questions following the presentation. [Operator Instructions] It is now my pleasure to turn the floor over to Rohit Dewan. You may begin, sir.
Rohit Dewan: Thank you, Maria. Good morning and thank you for joining us. Let me begin by directing you to pages two and three of the fourth quarter 2018 investor presentation, which contain important disclosures concerning forward-looking statements and the use of non-GAAP measures. The presentation can be found in the Investor Relations section of our website. Our discussion today will contain certain forward-looking statements reflecting management’s current beliefs about the company’s future financial performance and business prospects. And these forward-looking statements are subject to inherent risks and uncertainties, and speak only as of today. Factors that could cause actual results to differ materially from these forward-looking statements are set forth in our earnings press release. We caution you not to place undue reliance on forward-looking statements. If you may be listening to this via replay at some point after today, we remind you that the remarks made herein are as of today, February 12, and have not been updated subsequent to this call. Our call this morning will include formal remarks from Doug Shulman, our President and CEO, and Scott Parker, our Chief Financial Officer. After the conclusion of our formal remarks, we’ll conduct a Q&A session. So, now, let me turn the call over to Doug.
Douglas Shulman: Thanks, Rohit. And good morning, everyone. I’m really pleased to be with you today. Let me start with a review of the highlights for the year and then I want to share some high level thoughts on our future direction. We had a great fourth quarter and full year in 2018 with some important milestones for the company. We earned over $5 a share in our Consumer & Insurance segment and ended the year with over $16 billion in receivables. During the course of the year, we executed on our strategic priorities, including shifting our portfolio towards more secured lending, delivering strong credit performance, strengthening our balance sheet and executing expense discipline. Going into a little more detail. Portfolio yields remained stable at nearly 24% through the year. We continued to focus on efficiency and expense discipline, reducing our operating expense ratio by 50 basis points for the full year. On-credit, a larger secured lending portfolio and increased collections effectiveness helped us drive a 50 basis point reduction in net charge-offs for the full year. All of these factors, along with the impact of Corporate Tax Reform helped us to expand our return on receivables by 100 basis points in 2018 reaching 4.5% for the full year. We also continued to strengthen the balance sheet through - through further reducing our adjusted tangible leverage ratio to 6.9 times at year end. That was down from 9.4 times at the end of last year. Looking forward to 2019, I expect continued positive momentum on credit performance, deleveraging, operating efficiency, which will further support capital generation. In addition, we will continue to invest in data, analytics and technology to drive increased efficiency and profitability in our business. We'll talk more about our 2019 outlook and our capital policy later in the call. I want to make a few observations about the strength and resiliency of our business. I want to note and emphasize that we are focusing on managing our business for the long run. We're not currently seeing any signs or leading indicators of strain in our customer base. Nonetheless, regardless of economic cycles we are in a great position given our secured loan portfolio and conservative balance sheet. We've executed a significant portfolio transformation over the past couple of years. Since the end of 2016, all, let me repeat, all of our net portfolio growth has been secured by collateral, improving the overall credit profile of the business. In addition, we have significantly enhanced our funding, capital markets access and liquidity. In 2018 we reached our near term goal of 50 % unsecured funding through the issuance of nearly $3 billion of unsecured bonds at attractive rates. We've also continued to develop our ABS program, becoming the first issuer with a AAA rating in the personal loan space. At the end of 2018, we also had $6 billion in committed conduits up from $5.1 billion a year ago and we had $7.6 billion of unencumbered assets, up from $5 billion a year ago. This gives us over 24 months of liquidity runway even if we had no access to capital markets, which puts us in a very, very strong position. Overall from a portfolio positioning, liquidity and capital perspective the business is in fantastic shape. And yesterday, as I'm sure you all have seen, our Board approved a dividend, which I will discuss later in the call. So with that, let me turn it over to Scott.
Scott Parker: Thanks, Doug. We achieved strong results in the fourth quarter. We earned $168 million of net income or a $1.24 per diluted share. This compared to net income of $39 million or $0.29 in the last year's fourth quarter. As a reminder, fourth quarter 2017 GAAP income included a onetime tax reform related charge of $81 million or about $0.60 per share. Our Consumer & Insurance segment earned a $189 million on an adjusted net income basis or a $1.39 per diluted share compared to $144 million or $1.06 in the fourth quarter of 2017. As we have highlighted before, our GAAP and C&I earnings continue to converge, reflecting the strength of our business performance and the declining impact of acquisition related charges. We expect this trend to continue. Now let's discuss the key drivers of our C&I financial performance for the quarter. Ending net receivables grew $1.4 billion versus last year. All of that growth was secured, highlighting the quality of our portfolio growth. Originations grew 4% to $3.3 billion and we're 53% secured up from 44% a year ago. Interest income with $959 million, up 10% from last year's levels, reflecting higher average assets. Yield remained stable at 23.8% as the pricing actions from mid-2017 continue to offset the yield pressure from our transformation to a more secured book. Our credit performance in the quarter improved. Net charge offs were 6.3%, a 10 basis point improvement from a year ago. Both our early and late stage delinquencies were stable year-over-year. Our reserves increased sequentially by $20 million, reflecting asset growth for the fourth quarter. Our loan loss reserves declined by 10 basis points compared to last year and was stable with the third quarter at 4.8%. Fourth quarter operating expenses were $312 million, up about 4 % versus last year and down $8 million compared to the third quarter. The year-over-year increase reflects the continued [ph] investment in our business. Despite this investment, our fourth quarter OpEx ratio improved by 40 basis points versus last year, demonstrating the inherent operating leverage in our business. Now moving to Funding and Liquidity. As we've discussed on previous calls, we've been focused on mitigating interest rate risk and enhancing liquidity. We've done this by increasing our mix of unsecured debt and extending the duration of our liabilities. As Doug mentioned, we issued $2.9 billion of unsecured debt in 2018 at attractive rates and in the New Year we have continued to diversify our funding by issuing $600 million of personal loan ABS in January. Our liquidity position as Doug touched on is strong. At year end we had $6 billion of undrawn conduits, $7.6 billion of unencumbered assets and nearly $700 million of cash. This liquidity allows us to fund our expected cash outlays, originations, scheduled debt maturities and operating expenses for more than 24 months with no access to the capital markets. Lastly, we reduced our tangible leverage ratio to 6.9 times at year end, down from 7.8% times in the third quarter. The reduction was driven by strength in our business performance and continued capital generation. I'm pleased that Moody's recognized our continued progress yesterday with an upgrade of our ratings to Ba3. With that, I'll turn the call back to Doug for his closing remarks.
Douglas Shulman: Thanks, Scott. Looking back on 2018, we delivered on our strategic priorities. We came in near the top of the range on receivables growth, while maintaining a stable yield. Credit performed very well with a 6.5% net charge-off rate coming in at the low end of the range for the year. We maintained operating expense discipline, while effectively investing in our business. We achieved our near term goal of having a balanced capital structure by driving our ratio of secured funding to around 50% through the issuance of unsecured debt. And finally, we reduced our tangible leverage to less than seven times. As we move forward in 20 19, we expect to drive continued momentum across our strategic priorities. That includes receivables growth of 5% to 10 %, stable yield, further improvements in net charge-offs and modest operating expense growth of 3% reflecting continued investment in the business. And lastly, the Board has approved a 2019 capital program. We considered where our capital can best be deployed in the coming year and we are going to allocate it in three ways. First, we will continue to invest in the business. We have a great return profile, generating a 4.5% return on receivables. So we plan to continue to use our capital to fund growth and to fund investments to position us for the long-term. Second, we believe it is prudent to continue to strengthen our balance sheet. So we will continue to use excess capital to reduce our tangible leverage. We are targeting around six times by the end of the year. And finally, we're initiating a $0.25 per share quarterly dividend. Now this is a milestone for OneMain, as it's the first capital return to shareholders. And it illustrates our conviction in the stability and earnings generation power of the business. On an annualized basis this $1 per share dividend provides a compelling yield over 3% based on yesterday's closing price and will serve as a catalyst to expand our shareholder base over time. We are pleased to start laying in the capital returns with this dividend. Let me end by just saying that I am incredibly excited about our business and the opportunities ahead of us. Our market leading branch network, differentiated customer experience and underwriting, strong credit discipline and conservative balance sheet is a very powerful model that positions us well for the future. I'm confident that we will build tremendous shareholder value over the long-term. So with that, let me turn it back over to the operator for questions.
Operator: Thank you. [Operator Instructions] Thank you. Our first question is coming from Michael Kaye of Wells Fargo.
Michael Kaye: Hi, good morning. First I was hoping you could provide some color on your preference for dividends over share buybacks. I was wondering does the low flow just make it structurally more difficult to do a share buyback?
Douglas Shulman: I'll take. This is Doug. Look, we think that the dividend is you know, first of all going to provide recurring return of capital to our shareholders. We also think it will open the shareholder base up to us. There is a number of shareholders who will only invest in stocks with the dividend. So we think it's going to be good for all shareholders. You know, as I said, we looked at our capital policy for the year and we're going to invest in the business. We think it's very prudent to keep delevering and then we started with a you know, what we consider a healthy dividend which has a real compelling yield. So we considered all options and we looked at it, we feel really great about this option.
Michael Kaye: Okay. Second question, what do - just wondering what you're currently seeing on the loan demand side of the equation from customers? Also I've been reading some research that suggests that you know, lower income consumers see an outsized benefit from their tax refund this year from the tax cuts last year. So I am wondering how do you see that playing out for your loan demand and credit during tax refund season?
Douglas Shulman: You know, let me not touch on – I’ll mention tax refunds in a minute. But you know, look, we think there is a large and underserved market, so there's always demand for credit. We are really focused on booking the loans that meet our risk return profile, where we can provide value to a customer and it fits within our credit box. And so we're not seeing signs of strain in you know, our customer base. Labor markets are healthy. And so you know, we have plenty of applicants that we turn away and we're ads focused or more focused on credit and making sure we only book the loans we want to book and we think that's a prudent way to run the business. I think on tax returns it's, you know, there's a lot of speculation out there. I think it's too early to say. We're just getting into the tax return season. We're not seeing any impact on our book, but you know, we'll see over time.
Michael Kaye: Okay. Thank you.
Operator: Our next question comes from the line of Moshe Orenbuch of Credit Suisse.
Moshe Orenbuch: Great. Thanks, Doug and Scott, really terrific that you guys instituted the dividend. As you outlined you kind of the three pieces of your capital plan assuming that business continues to generate capital at the current levels, it probably will - it probably will provide access relative to that. And you know, how - I mean, how do you think about which of those areas is going to get incremental - incremental capital towards them as you kind of go through 2019 and ’20?
Douglas Shulman: Yeah, look you know, like I said, there's a real milestone for the company. We're in a position of strength and stability and feel great about initiating our first capital return. This is a 2019 plan that we kind of debated and came to where we are - you know we're going to allocate it to the three areas we talked about and we'll let you know in the future if there's any changes to the capital policy. But you know, where we are now we feel really great about laying it out and we think it's a really good use of capital to invest in our business to delever and to do a dividend and you know when we get to any future state, we'll talk to you about it.
Moshe Orenbuch: Got it. And I would certainly agree that a dividend at that level certainly is a very strong statement about the company's belief in the operating - and the strength of the operating earnings. When you look at funding, you did a lot of unsecured in 2018. How do you think about the plan for ’19, is it going to be a little more heavily weighted towards the secured side, and you noted you did one deal already in Q1?
Scott Parker: Hey, Moshe. Its Scott, I think as we've talked about on the last call, we still want to stay in that balance of where we are, plus or minus that 50-50. We do have a - I think as you know have the - you know some of the current ABS deals are amortizing. So we will be issuing you know ABS not only just to offset that amortization, but also to maintain the balance between you know our funding, as we grow the portfolio. But I wouldn't say that we're going to do anything radically different, it's just normal routine accessing both the unsecured and the secured markets throughout 2019 - 2019.
Moshe Orenbuch: Great. Thanks so much.
Operator: Our next question comes from line of Sanjay Sakhrani of KBW.
Sanjay Sakhrani: Thanks. Doug, you mentioned the six times leverage by the end of the year, I guess just to follow up on the previous question. As we look ahead how should we think about that ratio and how it could trend in the future?
Douglas Shulman: Yeah. Look, we - you know we want to make sure that we have a conservative balance sheet. We think it's a prudent way to run a consumer lending business. The team has made real significant strides in delivering, we feel really good that we got down to just under 7 this year. You know, we looked at kind of the economic backdrop where we are you know, we are not seeing any signs of strain in our customer and we monitor you know, a lot of different variables. With that said, we're mindful that we're 10 years into an economic expansion. And so we think a good way to position the business for the long run is to get you know, at six this year. That's our target. You know, we're going to work throughout the year and take advantage of capital markets and we'll reassess it, you know, a year from now depending on the kind of market conditions where we are - opportunities in the business.
Sanjay Sakhrani: Okay. And I'm sorry, I should have added to that. As far as like CECL is concerned Scott, I mean, how should we think about how that plays into that six times as we exit this year into next?
Scott Parker: Yeah. So you can imagine that we had a lot of conversation with stakeholders around the current business when we set these targets. On CECL, you know, there's been a lot of discussions around the implementation of CECL, but we believe that all the things that we've laid out in our capital policy will continue regardless of the impact of CECL.
Sanjay Sakhrani: Okay. And then just one final follow up, as far - and congrats on the Moody's upgrade. I guess, as we think about the economic benefit over time, as a result of this, could you maybe just walk us through how we should conceptualize the economic benefit of the upgrade? Thanks.
Scott Parker: Well, I think you know, one is we like the fact that we've kind of moved to the next level out of single B. And what that does as you know provides expansion of the investor base. So this year we've been able to grow our unsecured investor count by over 50 % which is a good thing, as we get the upgrade it also brings in other players that can look at our debt. Technically you know, being in the BB range should help us on unsecured issuance - on the issuance cost. But I'd say that's a – that’s a marginal benefit from kind of where we were trading at. But I think the bigger piece is access to more investors, a deeper market to allow us to continue to have the success we've had in the unsecured market.
Sanjay Sakhrani: Thank you.
Operator: Our next question comes from line of Rick Shane of JPMorgan.
Rick Shane: Hey, guys. Thanks for taking my questions this morning.
Douglas Shulman: How are you?
Rick Shane: Looking at the charge-off guidance for 2019, the expectation is for modest improvement versus a good number in 2018. One thing we notice is that the delinquency trends are starting to flatten out on a year-over-year basis. Is the assumption that loss severities will go down modestly as you continue to shift the portfolio that would drive the favorable trend given flat delinquencies?
Scott Parker: Yeah. So when you kind of think about that Rick, I'll also say that - the continued mix shift, so you know one of the reasons why things are kind of moderating is that we've been on a significant increase over the last couple of years of you know, pushing securities, starting to kind of tail off as we've you know, come into 2019. But it's really more of the mix of our secured losses or about half of our unsecured losses. So as you get there it's actually a frequency, as we've talked on different calls. The frequency of loss on the direct auto and hard security is much lower than that of our unsecured which drives the continued improvement that we expect in 2019.
Rick Shane: Got it. So it's actually a role rate issue from the delinquencies to the charge-offs?
Scott Parker: Well, you say an issue, I think we've seen improvement, you know, part of the improvement we had in 2018 is both a combination of the mix shift, as well as improved collection effectiveness in the late stage collection area as we continue to kind of bring in a lot of the policies and practices through the integration and that piece is kind of stabilized and so now you're really - the focus for ‘19 is really just the mix shift.
Rick Shane: Got it. You don't read into the word issue, explanation would have been a more accurate description. Second question related to operating leverage. Obviously the guidance for 2019 in terms of OpEx versus loan growth is very favorable. I'm curious is that realization of the synergies of the Springleaf [ph] OneMain merger or is that really a function of that mix shift driving larger loan sizes?
Scott Parker: While on this one it's kind of the absolute number Rick, not the percentage, so we will continue to drive down the percentage because of kind of loan growth relative to you know, operating expenses. But I think we invested in 2018, some of those investments will pan out in 2019. But as Doug mentioned, you know, the philosophy is to continue to invest in the business, but find cost efficiencies in the platform to fund those. And so at 3% operating expenses it's kind of - you know kind of think about it is around kind of inflationary growth rates and you know, we look at all the time trying to figure out how to get as much operating leverage out of the platform as we can.
Douglas Shulman: Yeah, I'll just add. You know, I have a strong belief that one of the jobs of the management team is to just continually drive improvements in efficiency. So we're looking across the platform and we're saying you know, how do we optimize our branch network, how can we use technology to automate things that are manual now at their back office functions, you know, where might we have extra weights and layers of people or spans. And so you know, you should expect us to continually be driving to make the company more efficient. That's also going to include investment dollars to invest in things that are going to make us better, like data, like analytics, like our credit and underwriting, like our technology. So we can serve customers well and give our employees great tools. So I would think most of the integration is behind us and this is now us just running the business in a more efficient way. And you know, our plan is to do it year-after-year.
Rick Shane: Terrific. Thanks, guys.
Operator: Our next question comes from a line of John Hecht of Jefferies.
John Hecht: Hey, guys. Thanks very much. I guess a little bit of a follow up from the last discussion. One of the surprises has been expense leverage here, but you also - it seems one of your priorities is to invest in technology and digital initiatives. I'm wondering if maybe you can give us a little bit more detail on that. This 3 %, I'm sure some of it's tied to your wage inflation so forth. But what component that is technology initiatives and what capabilities do you have in terms of goals in that regard?
Douglas Shulman: Yeah. Look, you know, I think I said on the last call, any financial service company needs to be very focused on technology enablement, having a digital presence for customers and for employees because its just the way the world is moving and people expect a better experience. They expect things faster. And so you know, we - a lot of our investment is core investment you know, open branches where we think there's high demand and potential. We're closing some branches where it doesn't make a lot of sense or we can do branch consolidations. We're investing in people and we're always going to be looking for the best people to make sure we can drive our company forward. You know, I think from a tech perspective, we're doing a lot of investment in just our core platform to make the branch base employee more efficient, to make sure we have great tools for customers when they walk into the branch. We're also investing in data and analytics, so we can optimize our operations, optimize our marketing, optimize our credit and underwriting and then we're going to be always looking to have enhancements that we invest in either for the customer experience or for the employee experience. And so you know, we can’t really dimensionalize it. I mean, generally there's an uptick going on in various parts of the business, but at the same time we increased by 3%. We're also cutting in certain places.
John Hecht: And any discussion point around kind of soup to nuts online lending at this point?
Douglas Shulman: No. You know, look, we want to make sure we serve our customers well and we right now have a lot of digital capabilities and a lot of our customers come into us and apply online, et cetera. We over time have build up quite a strong centralized network that can do customer assistance, but also takes collection loads off of branches when needed. And then we have in person and I think over time we're just going to need to optimize our ability to meet the customer where they want to do business with us. You know, I will say our branch network is a real differentiator. You know, I've spent a lot of time in our branches and the deep relationships we have with people, the ability to talk through product optionality with them, the ability to do, ability to pay underwriting and real budgeting with them is great, but we also have a lot of those capabilities on the phone and we have some of them online. And I think you know, we as a team are going to work on a strategy that make sure you know, every customer wants to do business with us that meets our credit box, that we think we can provide value to them. We're going to be able to do business with them.
John Hecht: Okay. Thanks very much.
Operator: Our next question comes from the line of Vincent Caintic of Stephens.
Vincent Caintic: Thanks. Good morning, guys. For the 20 19 guidance on credit, so appreciate that you're guiding lower for year-over-year 2019. Last year's improvement from the mix shift from unsecured to its secured, I'm just kind of wondering how much of a benefit that will be going forward? And then if we look at 2018 and separate the mix from unsecured to secured, where credit trends would have gone, so just trying to isolate that benefit there?
Scott Parker: Hey, Vincent. This is Scott. So we’re not going to kind of de-compartmentalize [ph] but as I mentioned, you know, between - and 2018 we had the benefit of the continued mix shift over the last couple of years, plus some improvement that I had mentioned to Rick on the, you know late stage collection effectiveness. As you think about 2019, I think you know, the point we were trying to make is since the mix shift was ’16, ‘17 and ‘18 as those vintages kind of seasoned what we expect to see continued improvement just not at the same trajectory as we experienced between 2017 and 2018.
Vincent Caintic: Okay. Understood. Then on to the yields. So it was nice to see in 2018 the pricing improvements. Just wondering how much more pricing improvements are available to you over the course of 2019 and what gives you confidence that the yields stay stable year-over-year?
Scott Parker: As I mentioned, we're continuing to look at ways to optimize kind of our pricing relative to the market and competitive forces. We still believe as we did in 2018 that based on those strategies and how we we’re optimizing the platform that Doug mentioned that we can maintain a stable yield even with the continued mix shift that we're going through. So that's kind of our expectation for 2019.
Vincent Caintic: Okay. Got it. Thanks very much.
Operator: Our next question comes from the line of Arren Cyganovich of Citi.
Arren Cyganovich: Thanks. Just looking at the competitive environment, was it impacted at all in the fourth quarter whenever you had high yield spreads widening out, maybe as spreads widening out, did you notice anything from your competitors. I know you have plenty of liquidity and would be able to take advantage of those kind of situations. But was there any impact on the competitive environment from the spread widening we saw last quarter?
Scott Parker: You're talking about from a customer point of view or from a funding point of view?
Arren Cyganovich: From the funding point of view, so you know, your high yield bonds had gapped out pretty significantly and I imagine most folks did, but you also had plenty of liquidity available side. I didn't know if the online folks or you know folks that you would see in the market would have been constrained at all from a lending perspective?
Scott Parker: Yeah, I think well, at least from a funding perspective the fourth quarter was pretty tough both for you know, clearly the unsecured market there wasn't a lot of ABS transactions. As I mentioned, we were the second deal out in January which was a strong reinforcement of our program that you know, given some of the disruption and dislocation in the markets in the fourth quarter that given what Doug mentioned about our AAA program and the investor base we've been able to cultivate. You know, we were able to get a deal out you know, fairly early in the process, as the market has stabilized in January and February, clearly others have kind of been able to get out there Arren. So I think one of the advantages we have is that we want to continue to have liquidity in the event and the markets go through that which is why it's very important and we keep kind of mentioning about how long we can run the business even in the event of capital markets access. So that's I think a very big differentiator for us and we want to continue to maintain that strong liquidity. And then number two is the cost aspect. So we think we paid a little bit more you know, in January, but I think from a perspective of our overall funding cost it's marginal, given the fact that we can continue to tap the markets in the good times and the bad.
Arren Cyganovich: Okay, thanks. And then in the - for the rate perspective, I know it doesn't really impact your yields or your cost to funds too much, but what are you assuming for rate hikes in your yield assumption this year?
Scott Parker: Well, you know, our yields are kind of based on state-by-state ranges. So I think our expectation is that you know, whatever happens in the rate environment our focus is to try to optimize our yield such that we can manage both kind of customer market dynamic, competitive dynamics, as well as our kind of overall return expectations. And then from a funding point of view, clearly you know, we - the base rate on the ABS side is already kind of been - you know kind of elevated and we've been able to offset most of that base rate improvement or increase with our spread improvement. And on the unsecured market I think it's really more tied to longer term rates than it is to shorter term rates.
Arren Cyganovich: Right. I guess, I ask that kind of backwards, but what are you assuming for rate hikes in – with respect to your expectations for cost of funds for the year?
Scott Parker: We kind of use the - you know kind of the forward curve. So the forward curve is kind of predicting modest kind of rate hikes by the Fed.
Arren Cyganovich: Okay. Thank you.
Operator: Our next question comes from one of Kevin Barker of Piper.
Kevin Barker: Hi, guys. Good morning.
Douglas Shulman: Morning.
Kevin Barker: A lot of my questions have been answered, but maybe just a follow up on the expense side. Are there any updates regarding the traction of the ad campaign initiated a few quarters ago? And you kind of touched on it, but how do you expect marketing spend overall to come into play versus other things, like maybe tax spends or as you mentioned branch improvements?
Douglas Shulman: Yeah. Look, you know, no real updates. Look, we have an overall marketing program that's quite effective. That includes mail, digital, some ads, some branding, some affiliates and partnerships and you know we're always looking at that. You know, like I said consumer demand for credit is robust. And so really no specific updates on the marketing.
Kevin Barker: Okay. Thanks.
Operator: And ladies and gentlemen, we have time for one more question. Our final question will come from the line of John Rowan of Janney.
John Rowan: Good morning, guys. Just one…
Douglas Shulman: Good morning.
John Rowan: Just one more quick question on CECL. I know you haven't disclosed the impact, but just you know, the way I look at it, I look at your balance sheet it looks like your carrying 8-ish months of allowance coverage. My understanding of CECL is that you know, within a lifetime pool it's important how much of your lost content happens within that eight month coverage ratio, would you guys venture to maybe give us a number you know, handicapping how much of that lifetime loss in any static pool happens within your reserve coverage that you currently have now?
Scott Parker: Yeah. I think John its kind of – to kind of do that right now, as we're kind of working through you know, kind of the modeling and all the activities around the CECL implementation. I think it's probably fair to say that we'll probably provide more updates on that as we get through kind of mid-year. But clearly the difference between us where we - as you mentioned, we have kind of our loss emergence period is kind of that seven to eight months kind of forward, with CECL it's like a loan and so you have to take into consideration that fundamental difference between where we are today - you know us specifically in the industry and kind of where you know, where CECL is kind of going. But what we focused on is you know, to me from an overall balance sheet perspective, reserves and capital or your cushion for losses and so when we go through that implementation I think it's just important to understand that from our balance sheet protection around losses you know, we'll be in the same spot, be in before and after that process. So those are the kind of things that we think about and then you know, kind of the ongoing impact is also something we'll provide some insight around.
John Rowan: Okay. Thank you.
Operator: And thank you. This does conclude today's OneMain Financials fourth quarter and full year earnings conference call. Please disconnect your lines at this time and have a wonderful day.